Operator: Greetings, and welcome to the Life Storage Third Quarter 2017 Earnings Release Conference Call. At this time all participants are in a listen only mode. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Diane Piegza, Vice President of Investor Relations. Thank you, Ms. Piegza. You may begin.
Diane Piegza: Thank you, and welcome to our third quarter 2017 conference call. Leading today's discussion will be David Rogers, Chief Executive Officer; and also on the call is Andy Gregoire, our Chief Financial Officer. As a reminder, the following discussion and answers to your questions contain forward-looking statements. Our actual results may differ from those projected due to risks and uncertainties with the Company's business. Additional information regarding these factors can be found in the Company's latest SEC filings. In addition to our press release, we have added a financial supplement which is available on the Investor Relations Page at Life Storage. [Operator Instructions] At this time, I will turn the call over to Dave.
David Rogers: Thanks, Diane, and welcome, everyone, to our call. Last night, we reported adjusted FFO of $1.39 for the third quarter against a pretty tough year-over-year comp. Some comments on our results. We achieved record high third quarter occupancy on both a weighted average and quarter end basis of 92.7%. We grew our joint-venture portfolio with the acquisition of three high-quality properties in Atlanta, and we continue to add stores to our third-party management platform. Perhaps most importantly, we made great strides, especially in the past few weeks in improving the positioning of the Life Storage brand on the web. Of course, the big story in Q3 was the one, two punch of hurricanes Harvey and Irma. Almost 150 of our stores in the Houston and Florida market were impacted, but most were back in business within days. However, seven, four wholly owned and three joint-venture stores were flooded and had to be taken out of service. We had customer goods removed and then the buildings had to be repaired, scrubbed and sanitized. We gratefully acknowledge the tremendous effort of our field staff in the affected markets. Notwithstanding that many were under great personal duress as their own homes and lives were upended, they and others from all over the company pitched in to help our customers and safeguard our stores. As of today, six of the stores taken offline are back in business and renting to customers. One joint venture store remains closed. Andy will have more on the damages, financial impact and the upcoming changes to the same-store pool, but aside from the charges to cover the repairs, there was no affect on operating results in the quarter. We do expect a continued increase in demand for the next several quarters, especially in Houston, and there should be some return of pricing power during that time. So looking at some of the bigger factors that affect our industry. We see continued high occupancies across our markets, and most of the other storage REITS showed demand to be healthy as well. Typically, demand for storage space outpaces population growth by a bit, and we continue to see that with increased household formation. We've been working to stimulate demand via our B2B programs which are then revitalized by the Life Storage brand. Regarding market strength, those in which we face our biggest challenges continue to be in the big four Texas markets: Houston, Dallas, Austin and San Antonio. In total, the properties in these markets comprise 23% our same-store pool. Houston has received a significant demand boost but that may be good for only four or five more quarters. The Beaumont - Port Arthur stores bounced back a bit, even before Harvey hit, as some supply got absorbed quicker than expected, but there's another round of building coming. To give some context to our exposure, we have 116 wholly-owned properties in Texas. In the past 24 months, 76 stores have opened in these market areas and we expect up to 36 more in the coming 18-months. These are expected to have an adverse effect on as many as 70 of our Texas properties for the next couple of years. But as we've been saying as we weather this round of development, these are rapidly growing, vibrant markets that are ideal for self storage. It's a cyclical drag and it's causing us some pain now, but mid- to long-term, we see Texas as a very attractive market. The other markets in which we play and have oversupply concerns include Denver, parts of Phoenix, Raleigh and Miami. The impact of Life Storage resulting from new builds in these cities is nowhere near as strong as it is in Texas, but there'll be some pressure on the top line, primarily due to the short-term disruption caused by move-in incentives. The markets we're optimistic about include most of Florida, St. Louis and much of the Northeast. While we've see some new supply in those markets, it's not always near us, and for the most part, the construction is warranted. The markets we've moved into last year and not yet in our same-store pool, Los Angeles, Las Vegas, Northern California, they're all performing well. With the exception of property taxes and Internet spending, operating expenses remain pretty well controlled and we expect that to continue for the coming quarters. But from all we can see, and despite a rigorous program of protesting and litigating our assessments, property tax increases are going to remain significant. Looking at the transaction market, we see little movement in bid/ask prices over the past few quarters. Few data points exist, although a few midsize reduced quality portfolios have come to market recently. Talking more specifically about our company matters. I mentioned earlier that we feel most encouraged by the recent improvement in the Life Storage brand's organic search results. To quantify what I mean by this a little bit, when measuring our position for the top seven search queries in our industry in July, we typically came up in 13th or worse position in three quarters of our top markets. As of last week, we're positioned, on average at, at least number six and on page one in those same markets. And we're seeing improvement each week, week-over-week. This should put us in a good place as we head into 2018. In addition to our earnings results, we made two other announcements last night. Our Board of Directors appointed Ms. Carol Hansell to the company's board. Carol served on boards of organizations across a variety of sectors, and brings more than 25-years of governance, government relations, legal and communications experience to the Life Storage board. We also announced the upcoming retirement of Paul Powell and the appointment of Joe Saffire to his position of Chief Investment Officer. Paul has been with our company for 20 years and has played an integral role in our past 500 acquisitions. He'll continue to work with us in an advisory role through a transition period. Joe comes from a global commercial banking background with a lot of experience in real estate and in deal making. We thank Paul for his many years of hard work and we welcome Joe to our team. It's been over a year since our acquisition of the Life Storage portfolio and our rebranding initiative. The 80-plus properties we brought on via the Life deal, as well as the other 40 stores we acquired in 2016, are fully integrated and absorbed into our systems and onto our platforms. Now, as our organic search results recover and our SCO efforts show strong improvement, we can begin to fully leverage the strength of our new name. We're now even more confident that the Life Storage brand will be a major benefit to our marketing sales efforts. We're aware of the challenges in our sector, with some markets needing time to absorb the recently built facilities and others just about to see the start of new construction. But demand is strong and we have the potential to grow our customer base. And we feel we've positioned Life Storage to perform well even in a tough part of the cycle. I gave the reasons why on our last call and they bear repeating again now. We have 700 high-quality stores in growing markets. We have over 100 recently acquired stores that are now reaping the benefits of our sophisticated operating and marketing platforms. An additional 2 dozen stores are still in lease-up and growing fast. Our expansion and enhancement program continues to deliver $30 million to $35 million of additional high-quality space to our portfolio. Life Storage solutions, our third-party management division, is ramping up significantly. We have a rock-solid balance sheet and $75 million of annual free cash flow after dividends. And our new brand is attractive to both residential customers and to our corporate storage clients. We remain confident that our increased scale, financial strength, ongoing initiatives and the Life Storage brand will enable us to create significant value for our shareholders going forward. And I'll now turn the call over to Andy.
Andy Gregoire: Thanks, Dave. Last night, we reported adjusted funds from operation of $1.39 per share compared to adjusted FFO of $1.34 per share for the same period in 2016. These results were above the high end of our forecast as a result of same-store performance exceeding our expectations. We've excluded from adjusted FFO, the uninsured damages caused by hurricanes Harvey and Irma, which have been estimated at approximately $2.8 million. Four of our wholly owned stores that were flooded have been repaired and reopened. Three of these stores were previously in our same-store pool and have been removed from that pool. Also excluded from adjusted FFO is a $117,000 acquisition fee paid by our joint venture partners to us. Overall, total revenues grew approximately 6.1% as we benefited from the Life Storage acquisition being included for a full quarter this year as compared to only 2.5 months in last year's third quarter. With respect to the Life Storage acquisition stores, we continue to grow occupancy, and as of September 30, the occupancy at the 71 stable stores was at 91.3%, up from 89.4% at September 30, 2016. The 11 non-stabilized Life Storage stores continue to increase occupancy ahead of expectations and were at 86.7% at September 30, leaving more room to grow. In addition, we continue to see nice growth trends at the 13 lease-up properties that were previously purchased as certificate of occupancy or very early in the lease-up stage. Average occupancy for these 13 stores increased by 770 basis points on a sequential quarter basis from 67.1% at June 30 to 74.8% at September 30. The overall revenue increase also reflected a 49% increase in management fee income to $2.4 million and a $117,000 acquisition fee earned from one of our joint ventures. Same-store revenue grew just under 1% as a result of occupancy gains. Occupancy at September 30 was the third quarter record high of 92.7%, an 80 basis point increase over 2016's September 30 occupancy. The balance of the revenue increase came from growth in tenant insurance. Same-store expenses, outside of property taxes and Internet marketing, were well-controlled by our teams, decreasing 1.3%. Property taxes increased 7.6% as expected and our internet spend was up almost $800,000 as a result of our brand transition. We were able to reduce our same-store Internet spend from Q2 to Q3, and we would expect to further reduce this spend as we continue to see positive trends with our online presence. G&A costs were flat year-over-year. Our balance sheet remains very strong. At quarter end, we had cash on hand of $6 million and $171 million available on our line of credit. We have no debt maturities until December 2019. Our debt service coverage ratio was a healthy 1.5 times and our net debt to recurring EBITDA ratio improved to 5.4 times. We did not acquire any assets for our own account during the quarter, but we did acquire three assets in Atlanta through a joint venture in which we were a 20% owner. We have one property in Charlotte, North Carolina under purchase contract upon the completion of construction, which we expect in the fourth quarter of 2017. As previous announced, our board authorized a $200 million share repurchase program. During the quarter, we repurchased $8.2 million of our shares at an average price of $73.16. These purchases were funded by free cash flow. With regard to guidance, although we have seen an increase in occupancy in Houston and parts of Florida as a result of the hurricanes, we continue to see softness in other markets due to new supply. We also expect our marketing expense to remain elevated. That being said, we've tightened our annual adjusted FFO guidance range based on our better-than-expected third quarter results. Pressure on the same-store net operating income will be partially offset by increased third-party management fees and an increase in FFO from joint ventures. Our guidance does not include any capital markets activity or additional acquisitions. And with that, operator, we can open the call for questions.
Operator: Thank you. We'll now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of [Shirley Wae] with Bank of America. Please proceed with your question.
Unidentified Analyst: So two questions. First one is, when do you anticipate the Life Storage portfolio acquisition to be included in your same-store pool? And second question is, what's your current occupancy year-to-date? And kind of like a [indiscernible] portfolio versus your current same-store portfolio?
Andy Gregoire: Regarding occupancy today, it is at 92.2% at the end of October. That's 80 basis points over last October. So we held that 80 basis points that you had at the end of September. Regarding the Life Storage, the stable stores in the pool which are now 71 will be included in the same-store results January 1, 2018.
Operator: Thank you. Our next question comes from the line of David Corak with B. Riley. Please proceed with your question.
David Corak: Dave, I just wanted to get kind of some thoughts on Houston. You mentioned your concerns about the outlook for the market at a recent conference, specifically that seven/eight of the population was not kind of properly insured and going to be losing the equity in their homes, which I guess would be the biggest portion of their net worth. It would just seem like that would point to a rather strained consumer outlook there, but just want to get your take, so on more the intermediate term outlook for Houston and how you see that market playing out?
David Rogers: Yes, I guess that was me playing the role of amateur economist. I still don't understand it. I do get that there's a lot of people who were hurt, and hurt badly. As it pertains our business, we're pretty bullish on Houston all of a sudden. It's really ramped up our occupancy. You don't see much, if any, in the third quarter results because a lot of the customers who moved in, we extended our typical free rent to. But we have a full bunch of stores right now, and I think at least for the next four quarters, maybe a little more, that should stay that way. I think we'll be achieving some pretty significant pricing power starting now, if not a few weeks ago. So as it pertains to our business, we don't see -- and it's a boon to our business. I don't get the longer picture. I haven't seen much written about it. I've said that at a couple of conferences and I still believe it, I don't know how those folks who have been -- where their home's damage is so extensive, not insured. I don't know how you recover from that. I don't know how I would do it. But as it pertains to our business, I think we're good.
David Corak: And then just flipping over to supply. I apologize if I missed this flipping around calls. But there's been a lot of talk about exactly when supply deliveries are going to peak with some speculation that it's been pushed back into 2019. But I guess just in terms of your portfolio specifically, if you kind of look at the weighted average exposure, when would you say supply is going -- deliveries are going to peak. And then in relation to that, when do you think fundamentals would drop?
David Rogers: I think we pay a lot of attention to our stores, the market area around our stores. So the national talk doesn't always jive or reconcile with what we see. But maybe Andy can give a little bit of update on that.
Andy Gregoire: Yes, we still see significants in construction in our markets. We're tracking 131 stores currently under construction. And that compares to the last two years in those same markets, 212 stores had opened. So in the last two years, we tracked 212 that opened. Right now we're tracking 131 under construction, so we don't see it falling off much.
David Rogers: But I think it'd be more of a wave type. I think even before Harvey, Houston was showing a pretty significant slowdown in the pace of new supply and we expected that to sort of come back, pre-Harvey, mid '19, early to mid '19 as supply got absorbed. The toughest part is when the new guys are trying to lease-up right from 0. Once they get 40%, 50%, 55% occupancy, there is less pressure on certain unit sizes and the free rent on those. But then it's Houston, the biggest, Dallas we fully expect to pick up as their deliveries are just now hitting. So we expect a pretty tough 2018, deep into '19 in Dallas. Austin is actually going to be, I think, doing okay starting next year. So it will come in waves, and I think other markets like Miami and New York, and Charlotte, they haven't seen it yet, really, the real kick. So it's starting, I think Houston was the bellwether. The biggest supply came out in '15 and '16, being absorbed handily now, so it's hard to say industry wide how long it will take and they may extend into the secondary markets in a pretty big way, perhaps the year after next. As the low-hanging fruit in the primary markets is taken, you'll see more on the second. So it's hard to get an answer nationally. Market-by-market is a little bit easier to do.
David Corak: So along those lines, when you look at your markets and your exposure, I get that wave analogy. But when would you expect kind of the worst of it to be?
David Rogers: I think we're going to have pretty significant pressure next year. Given our portfolio and the mix and the weights, I think we'll start to come out of it and get some pricing power by early '19 in some of our bigger markets, which will help our whole mix a lot better.
Operator: Our next question comes from the line of Todd Thomas with KeyBanc Capital Markets.
Todd Thomas: First question in terms of the guidance for the remainder of the year here. You came in ahead on revenue and NOI. It looks like about a $0.03 per share benefit based on the increase expected in the same-store NOI growth now. You saw some better growth in your management fee income, yet you only raise the low end by $0.01. Can you just provide some additional color there on some of the moving pieces and what else is sort of factored into the model?
Andy Gregoire: There's a few items to consider for fourth quarter. First, our Internet marketing. Although we're thrilled with what's happened with our organic search results, we are in the slow season. We usually spend more in 4Q in marketing. So you won't see a big benefit from marketing pullback, and we just don't think cutting back right now as we've got the momentum is the right thing to do. So marketing spend, that will remain elevated. We're still experiencing supply, what we just talked about. We'll see that pressure from supply. That will cause more free rent than some people had anticipated. And 4Q, property taxes, there is still a Florida, Texas; there is still some open area there for some of our assessments in Chicago. So those -- we didn't think it was prudent to change the guidance. We tightened it a little bit based on our beat.
Todd Thomas: But all of those costs, the Internet spend, some -- the real estate taxes. All of that's in the same store guidance and that was up 50 basis points at the midpoint, which is about $0.03. Is there anything outside of the same-store that's impacting the guidance?
Andy Gregoire: I think all of what we just talked about. The Internet marketing goes same-store and outside the same-store. We did think earlier in the year that we'll be able to pull back fourth quarter. We thought we would be able to pull back fourth quarter on free rent. We do not see that now, so again, we're comfortable where we're at.
Todd Thomas: And then just curious, one of your competitors commented that they saw roughly half of the move-ins in Florida related to the hurricane vacate rather quickly prior to the end of the quarter. Is that consistent with what you experienced in Florida?
David Rogers: Yes, the Florida bump is not significant at all. Interestingly, I think a lot of people anticipated the storm and we had some move-ins and they probably did too prior to the storm. It came by, the winds, and the damage was certainly significant but not household-threatening, and the move-outs happened right away, but I think a lot of people rented even in anticipation of the storms. So Florida, I don't think for any of us is going to be much of an impact at all. Even though it was a widespread storm, the damage was not the roof-tearing-off type, so I think Florida was a real quick blip and not sustainable.
Todd Thomas: And then the comments about Houston where you could see demand increase there for several quarters. Just curious if you expect or when you might expect to see positive revenue growth in Houston. Do you think -- how long would it take for a recovery to really materialize there?
Andy Gregoire: Sure, Todd. I think 4Q, you'll see a slight positive, we would expect, in Houston if everything holds, and that would bode well for next year pricing-wise and special-wise. So it should, like Dave said, at least four quarters.
Operator: Our next question comes from the line of Smedes Rose with Citigroup.
Bennett Rose: I just wanted to follow up a little bit on the guidance. So it sounds like what you're saying is that if you have not had this kind of short-term, temporary positive impact in the hurricane-impacted markets, that you would have had to reduce your full year guidance. So by keeping it flat, you're getting the impact post hurricane, but all of that other stuff you talked about on marketing and Internet sounds like it's kind of new since your last commentary [indiscernible] on the margins.
David Rogers: I wouldn't say that, Smedes. So if you look at our revenue growth from quarter-to-quarter, Q2 to Q3, we had 12 markets where revenue accelerated or at least decline decelerated. So we're seeing better activity in numerous markets: Buffalo, Virginia, Chicago and the Alabama market. So we're seeing some positive trends in different markets but we do see new supply that does put pressure on things.
Bennett Rose: So I guess, going back to my point, you're keeping your guidance relatively unchanged. When you provided your prior guidance, you wouldn't have known about the upcoming impact from the hurricane, so I mean it just seems like you're either being conservative or things have gotten worse on the margins [indiscernible] fourth quarter.
Andy Gregoire: I think there's a few things. The free rent, Smedes, remember, some of that rolled into Q4, into October, where we got to have a full month free rent, so some of that rolls into October. Even in the Florida markets, we had free rent on for those markets. Even though the impact wasn't as strong, those move-ins that did come in got a free month. Some of the Houston market's free rent rolled into 4Q. So the impact on 4Q isn't that great from the hurricanes.
David Rogers: I think though you're right, Smedes, that we're being more conservative, especially given the choppy year we had. So I think we feel much more comfortable with our guidance, probably much more comfortable with the high end of our guidance, but it's -- there's still some moving parts, as Andy highlighted.
Bennett Rose: And can you provide some color on your selection of the new CIO and the new addition to the board, kind of what you hope that these new figures can bring to the table, if you will, and in terms of a new set of eyes or thoughts strategically over the next year or so?
David Rogers: With regard to our director, we were searching for candidates even prior to last year's proxy season. We didn't want to rush it. So we had a pretty extensive search throughout the summer and into early fall. And our goal is -- our board's goal is always to look for needs, find out what we need. And we felt that we were light in the governance portion of our team. We have some very talented board members but nobody goes deep in governance. So that was the prime criteria for searching for a candidate. So the board interviewed 6 or 7 candidates that I know of throughout the summer and early fall and settled on Carol, who is essentially a -- she is an instructor; she has got her own firm that advises on governance; she has got 25 years of deep experience in governance matters; she teaches; she's great with government relations; and so forth. She had her first board meeting with us yesterday. She's been appointed to all of the committees, and we think she will be great, a great addition to the team. Works really well. She is filling a very sort of -- we were very light on governance on the board and she fits the bill perfect, so we're looking forward to working with Carol as we move forward. Joe Saffire is stepping in to take Paul Powell's place. Paul came to us during the summer, early summer, and said look, I want to give you guys a heads up. He gave us about a year's notice on his retiring. He just basically said that he is, after 27-years working with us and then another bunch of years before that in the storage business, he wanted us to retire back home to Virginia, where he has got two lovely grandchildren and it's always been home to Paul. So never got used to the Buffalo winters. He's a gamer, but -- so anyway, we had a lot of time to work with that. I've known Joe for a little bit. Joe was 25-years plus in the global banking business. He's had a lot of exposure around the world, but most importantly, he knows real estate and dealmaking. And Paul has been a part of our executive team. E expect Joe to be a part of our executive team with regard to all of the matters that we consider in the C-suite, essentially the running of the business. So Joe has a lot of depth. Real estate, we have a big bench here with Mike and the rest of the team. Paul is going to stay on in the transitional role to get Joe acclimated to the nuances of self storage, but Joe will be heading up a team that already has a lot of experience. So broad breadth, good member to the C-suite, and with both he and Carol adding new eyes and a lot of experience, we're looking forward to it.
Operator: Thank you. Our next question comes from the line of Gaurav Mehta with Cantor Fitzgerald. Please proceed with your question.
Gaurav Mehta: I was wondering if you would provide some work around your third-party management program as to what you're seeing on the market. What kind of growth should we expect?
David Rogers: Yes, the property management platform for us, since we change the brand to Life Storage, has been growing almost logarithmically. We basically market this year round, but the big times are after the four shows, the national shows as well as some of the state shows, and we came back from the September shows with just a queue a mile long to process. I think there's good and bad to it. A lot of the prospects, a lot of the potential clients are new builds, new construction, so in a lot of ways we call our guys dissuaders-in-chief for some of these plans that people have, and we nix an awful lot of them before they even get past the request for proposal stage. But there's a lot of good stuff out there. We have, this year, about a 30/70 mix, 30% existing stores with a track record, 70% new stuff are refurbished stuff. It's a mixed bag. We love the idea of adding to our scale, getting our brand deeper in more markets, having the economies that come with it. The fee income doesn't hurt. I think it's ramped up considerably. I think you'll see a lot more coming on the platform in the coming quarters and it's something we're committed to and we're driving forward with. The new brand has really revitalized our able to capture new clients and it's working out great.
Gaurav Mehta: And second question, can you provide some more color on renewals and what percentage of your customers are below street rates right now?
Andy Gregoire: Percentage of our customers below street rate as of the end of the quarter was, let me just look at it here. It was 50% were below the street rate, 42% were above and 7% were at. Regarding the in-place renewals, holding very strong. We are not them move out. Move-out rate continues to tick down, which it's done each quarter this year. So they are sticky, which is nice. Our average increase was 9.8%. We did it to about 4,000 more customers this quarter of '17 versus same quarter of '16.
Operator: Our next question comes from the line of Jeremy Metz with BMO Capital Markets. Please proceed with your question.
Jeremy Metz: Andy, can you talk about your take rates during the quarter, so how the move-in rates trended relative to last year? And then maybe also if you can comment on street rate trends?
Andy Gregoire: If we look at street rate trends in the Q, we started the Q -- I think on our last call, we talked we were about 5.5% below the prior year street rates for new customers coming in. As of today, that's 2.5%. So it's, it's just a mix of markets though. We see Houston got much stronger. Dallas got weaker, so it does matter by market, but overall, we like the trend. The decrease from the prior year has been reduced, five of the -- four of the five last months the decrease has gone down, so 2.5% as of today. Move-in versus move-out rates, during the quarter, our move-ins were paying more than our move-outs, which was nice. It was only a couple of bucks more. Average move-in was $117; average move-out was $115. So that has tightened up, but we're in a good position in that. And we'll have a roll-down as we normally do in Q4. Just rates are down, but otherwise, we like what we see from the move-in, move-out rate wise.
Jeremy Metz: And how does those -- there's some -- going back to how do those move-institutions, how are they relative to where they were last year at this time, just on the move-in side of it?
Andy Gregoire: On the move-in side, for the quarter the average was paying -- versus the move-ins last year is about 4.5% less than the move-ins last year.
Jeremy Metz: Okay. Dave, just one for you. You announced the stock buyback in August. You bought back a little bit here in 3Q. The stock obviously had a nice reaction from the hurricanes on the anticipation of higher demand in Houston in particular. Can you talk about your appetite to buy back shares at current levels, and then more broadly, just how do you rank your capital allocation options from here between, call it, acquisitions, CO deals, maybe increasing the expansion and enhancement pipeline, and then buybacks?
David Rogers: Sure. We said all along we weren't going to change our leverage profile with the share buyback, and the component to the share buyback would be the sale of some assets. And we have three under contract right now and none of them closed, so that's in the range of $30 million to $40 million we accept from asset sales proceeds. That will greatly fuel our decision as to whether to buy back more shares once those close. But still, we look at where we are, we really like the joint venture program. We've got some irons in the fire with that. That provides us a lot of leverage for the dollars we deploy to that. The guys have come up with some more E&Es, and when you turn those in and you can make your overall properties presence a lot better and more relevant and still get close to a 10% or better yield on it, that's a pretty compelling argument. So we're putting a few more of those to the front of the queue. The outright acquisitions, not so much. We look at all of them. We haven't found anything compelling, given the bid/ask spread on that. So I guess if you want me to rank, I would say, love the joint ventures, like the ENEs we're seeing. The share buyback, if the funds are there to do it without messing with the leverage, I guess that would be our down and dirty priority.
Operator: Our next question comes from the line of Gwen Clark with Evercore ISI.
Gwen Clark: Can you talk about the traffic and demand trends toward the quarter and specifically also address stores' discounting today versus perhaps a year ago?
Andy Gregoire: It's Andy. Discounting versus a year ago, we'll go over that first. During the quarter, we saw significant discounting because of the move-ins we saw in Houston. So we had $2.7 million of discounting during the quarter versus last year, about $1.5 million. That -- on a percentage of revenue, about 2.8% this year, still one of the best in the industry as we think at giving away the lease, though 2.8% during the quarter we gave away versus last year about 1.7% of revenue we gave away. October, we tightened that up a little bit back to the 2.6% of revenue, so we like the trend there. Still higher than last year, but we like the trend. And what was your other question, Gwen, I'm sorry?
Gwen Clark: Traffic and demand?
Andy Gregoire: Move-ins were down. We're still -- during the quarter, we talked about the organic search and how that improved, which was subsequent to quarter end. We saw minimal improvement during the quarter, so we still fighting for traffic, so we did not see an uptick in traffic during the quarter. We're doing a great job closing what we see, though.
Gwen Clark: So that gets me to my follow-up question. The occupancy trends are obviously encouraging. During the quarter, you guys are up year-to-date, which is great to see. Can you talk about how we should think about 2018, with the caveat that I realize that unit supply is going to be more of a pressure. Do you think that there is a possibility that occupancy could be up in '18 versus '17 as a result of all the progress you've made?
David Rogers: I think so. But it's all a function of what the RevMan team -- we look, as we've said before, to optimize revenue. So right now we are, given -- especially given some of the issues we've had with search, we are fighting to capture the calls that come in. So we're offering discounting and somewhat lower rates. I think as that improves, as we are very confident, we will have more pricing power. Whether that equates to raising rates or backing off on the waiving of the admin fees or the discounting or occupancy remains to be seen, but I think it puts us in the right spot. And I think everything else being equal, occupancy would rise, but if we see a chance to take price and back off on the incentives, perhaps if it makes -- we might hold occupancy and do better on one of those two levers. So I think it gets us in the right spot to have a little more control and do what we want, and occupancy growth could very well be one of those.
Gwen Clark: So is it fair to say that we should really just continue to focus on the sum of the key parts being occupancy plus rates and then take into account the impact of discount?
David Rogers: I think that's very fair.
Operator: [Operator Instructions] Our next question comes from the line of George Hoglund with Jefferies.
George Hoglund: Just one question in terms of Internet marketing and improvement in search results. How does that interplay with the utilization of SpareFoot? And kind of how do you view using SpareFoot going forward in terms of does that impact your search results?
Andy Gregoire: We've used SpareFoot; we've had a great relationship with them. Doing our transition to the new brand, we did use them heavier, as we did paid Google search. But let's back up on what's going on with the generic search -- or the organic search. Remember, it was late last year when we started changing our signs on our stores, and we started changing market-by-market. Went very smooth. We had the old brand, the new brand. Come March, we switched off the old brand because we thought it was holding back both brands. We switched it off and went to the new brand, Life Storage. It did surpass our organic search, and we followed the [indiscernible] protocols, we made sure we were doing everything by the book. And we had consultants looking over our shoulders, saying you are doing all the right things, but it's holding back the organic search, it's a matter of time. And we've been struggling, seen very minimal progress through the year since March. And all of a sudden in October, I was sitting in my office talking with Kevin Driscoll, our VP of Finance, and our -- Chris Laczi, our head of Marketing, came in and said, it happened. Overnight most of our markets, 75% of them, went to page one, and now we can play with that, spending on Google with SpareFoot, but they're great partners. So we will continue to spend with them. They do a great job and they're going to show up in organic.
Operator: Our next question comes from the line of Ki Bin Kim with SunTrust Robinson Humphrey.
Ki Bin Kim: You might have answered these questions, but on the organic search, in your press release you said you saw a significant increase. How much of that is induced by just more spending versus some of the hiccups you had in the name transfer fixing itself?
Andy Gregoire: None of it related to more spending. It was strictly we did -- again, as I was just talking about the Google protocol, we followed good practices in how to do this, and our team was just telling us, it's a matter of time. It got a little frustrating waiting that time period, but Google algorithms caught up and it was October 19, that it all changed for the better for 75% of our markets, and since then we've seen in those other markets improve. So it was nothing -- there was no hiccups in what we were doing. We followed the protocol and we did exactly what we should have been doing. We had the best people working on it. It was just a matter of time.
Ki Bin Kim: And you guys quoted previously an estimate of how much revenue that might have been impacted by it in the past year. What was that number again? And how much of that do you think actually leap -- fixes itself going forward?
David Rogers: I think we had tried to equate it and saw that we had -- that we were losing due to competition. And it's very, very subjective and there's probably a broad range around, but we thought for at least June, July, August, September, 90 basis points -- somewhere in the range of 75 to 100, closer to 90 basis points of revenue we thought we coughed up as a result of not being where we wanted to be on the search pages.
Ki Bin Kim: And maybe you answered this question already, but just -- not asking for guidance, but obviously, the market is highly focused on your same store revenue trends. Given the improvements you are seeing in organic search and maybe Houston and just easier comps, all that combined, is there expectation going forward that we've seen the trough or very close to it? What do you think?
David Rogers: We were talking about this a little bit before, and I had mentioned sort of waves. Different markets are hit at different times. And we think, fortunately, our bigger market, Houston, has probably, even without Harvey, had seen the worst and was rebounding. Some of our smaller markets, including a not too small one of Dallas, has got the worst to come yet. But I think on balance, looking at our portfolio, we think we're headed north.
Operator: Thank you. Our next question comes from the line of Jonathan Hughes with Raymond James. Please proceed with your question.
Jonathan Hughes: Sorry if I missed this earlier, but if you were to include the four removed assets in the same-store pool, what would have been the drag on same-store revenue and NOI growth?
Andy Gregoire: If we would have removed them? We did remove them. If we would not have removed them, the NOI would have been impacted significantly because that's where the R&M extends from the deductible hit. So it would have expected it affected the NOI, but revenue-wise, we have business interruption insurance so their revenue will be fine. Their occupancy will look odd because they will have very limited occupancy. Some of them went right to zero, but they will have revenue because we do have revenue from those business interruption insurance plans.
David Rogers: I think Jonathan wanted to know what the impact would have been had they not been removed, what would it taking those stores out of the pool. Is that what you meant?
Jonathan Hughes: Yes.
David Rogers: Okay, I think it would have been negligible. It's only four stores. They're Houston stores, so they wouldn't have helped, but I think really pretty neutral with only four stores out of 450.
Jonathan Hughes: And then as much as I want to talk about Houston, I'll let them enjoy their World Series title for a bit. But looking at Atlanta, which is your number five market, what drove the deceleration in revenue growth there? Some of your peers posted a bit of a slower rate of deceleration, and I'm just curious if that was new supply driven right next to your properties or weaker demand. Just any color there would be great.
Andy Gregoire: Yes, there was some new supply. But I think, more importantly, Q2 had an easier comp. So Q2 looked very impressive. I think we were like mid-four's in Q1. It went over six in Q2, to zero now. Really, that four should have gradually declined to that zero. 2Q had an easier comp with an unusual item. But otherwise, it is new comps that are close by to us in the Atlanta market. That is one of the markets we're concerned about.
David Rogers: We're concerned, but I don't think we'll see anywhere near the pace of deceleration that we did from Q2 -- Q2 to Q3. It's less than it was first quarter but I think we're stabilizing in Atlanta.
Jonathan Hughes: So a bit of a one-time decel then.
Operator: There are no further questions at this time. I would now like to turn the floor back to Mr. Rogers for closing comments.